Operator: Good morning, and welcome to PowerFleet's Third Quarter 2021 Conference Call. Joining us for today's presentation is the company's CEO, Chris Wolfe; and CFO, Ned Mavrommatis. Following their remarks, we will open the call for questions. Before we begin the call I would like to provide PowerFleet’s Safe Harbor Statement that includes cautions regarding forward-looking statements made during this call. During the call, there will be forward-looking statements made regarding future events including PowerFleet’s future financial performance. All statements other than present and historical facts, which include any statements regarding the company's plans for future operations, anticipated future financial position, anticipated results of operation, business strategy, competitive position, company's expectations regarding opportunities for growth, demand for the company's product offering, and other industry trends are considered forward-looking statements. Such statements include but are not limited to the company's financial expectations for 2021 and beyond. All such forward-looking statements imply the presence of risks, uncertainties, and contingencies, many of which are beyond the company's control. The company's actual results, performance, or achievements may differ materially from those projected or assumed in any forward-looking statements. Factors that could cause actual results to differ materially could include amongst others SEC filings, overall economic and business conditions, demands for the company's products and services, competitive factors, emergence of new technologies, and the company's cash position. The company does not intend to undertake any duty to update any forward-looking statements to reflect future events or circumstances. Finally, I would like to remind everyone that this call will be made available for replay in the investor relations section of the company's website at www.powerfleet.com. Now, I would like to turn the call over to PowerFleet’s CEO, Mr. Chris Wolfe. Sir, please proceed.
Chris Wolfe: Thank you, Tom. Welcome, everyone and thanks for joining our call today. As you can see from the press release we issued this morning that while we successfully grew our recurring services revenues by 10%, we had our product sales in Q3 impacted by the cargo ship backup in Los Angeles, which had the ripple effect of severely impacting new forklift builds starting in mid-August. All forklift manufacturers in the U.S. had their productions severely affected, which in turn led to their delaying deliveries of forklifts as they waited for counterbalance weights and other critical parts to be offloaded from ships. It's worth mentioning that about one-third of PowerFleet's industrial sales each quarter are for new forklifts. These higher-priced, higher-margin industrial telemetry orders are typically placed the last month of each quarter for forklifts coming off the line the following quarter. This is where our Q3 shortfall occurred. I'd like to emphasize that these forklift telemetry orders were not canceled, merely delayed waiting up for deliveries as are our customers.  While we faced momentary sales delays in our industrial business, we've seen our investments in our logistics products continue to pay off. During the third quarter, we received several large logistics orders that could have made up for the shortfall in industrial. However, we were not able to procure the necessary electronic parts to surge our logistics deliveries. Despite the challenges we face in the quarter, we delivered year-over-year revenue growth of 6% in Q3 and 9% for the first nine months of 2021. On top of this, we saw a solid growth in our most important KPI, our high margin recurring services revenue, which was up 10% and 7% for the third quarter and for nine months respectively. I'll turn it over to Ned to discuss our financial results in more detail. Afterward, I'll cover more about our overall business climate, Q3 successes, our pipeline, and our backlog. Ned.
Ned Mavrommatis: Thank you, Chris and good morning everyone. Turning to our results for the third quarter and nine-months end of September 30, 2021, total revenue for the third quarter increased 6% to $29.2 million, compared to $27.6 million in Q3 of last year. For the nine-month period, total revenue increased 9% to $91.8 million from $84.2 million in the same year-ago period. High margin recurring and services revenue for the third quarter of 2021 increased 10% to $18.5 million or 63% of total revenue from $16.7 million or 60% of total revenue in Q3 of last year. For the nine-month period, high margin recurring and services revenue increased 7% to $54.1 million or 63% of total revenue from $50.7 million or 60% of total revenue in the same year-ago period.  Product revenue, which drives future services revenue for the third quarter of 2021 was $10.8 million or 37% of total revenue, compared to $10.9 million or 39% of total revenue in Q3 of last year. For the nine-month period, product revenue was $37.7 million or 41% of total revenue, an improvement compared to $33.5 million or 40% of total revenue in the same year-ago period. Gross profit for the third quarter of 2021 was $14.3 million or 49% of total revenue, compared to $14.9 million or 54% of total revenue in Q3 of last year. Service gross profit for the third quarter of 2021 was $11.7 million or 63% of total services revenue, compared to $10.7 million or 64% of total service revenue in Q3 of last year. Product gross profit for the third quarter of 2021 was $2.6 million or 24% of total product revenue, compared to $4.2 million or 39% of total product revenue in Q3 of last year. The decrease in product gross profit was primarily due to a $400,000 one-time expense related to an incentive program to expand business within an existing customer, one of the largest chassis lessors in North America. In exchange, the customer placed orders for approximately 3,000 units to be delivered in Q4 of 2021 and committed to ordering 10,000 to 15,000 additional units in 2022. Profit growth margin was also impacted by product mix, higher costs associated with supply chain issues and electronic component shortages, and placement.  Turning to our expenses, total operating expenses for the third quarter of 2021 was $16.7 million, compared to $16.2 in the prior quarter and $14.2 million in Q3 of last year. Looking at our profitability metrics, GAAP net loss contributed to common stockholders totaling $4.5 million or $0.13 basic and diluted share compared to net loss attributable to common stockholders of 1.7 million or $0.06 per basic and diluted share in Q3 of last year. Non-GAAP net loss for the third quarter of 2021 totaled 364,000 or $0.01 per basic and diluted share. This compares to non-GAAP net income of $2.2 million or $0.07 per basic and $0.06 per diluted share in Q3 of last year. Adjusted EBITDA and non-GAAP metrics for the third quarter of 2021 totaled $1 million compared to adjusted EBITDA of 3.6 million in the same year-ago period. Our liquidity position remains strong at quarter-end with $33.8 million in cash and cash equivalents and $49.4 million of working capital. That concludes my prepared remarks. Chris.
Chris Wolfe: Thank you, Ned. As I mentioned in my opening remarks, the container backlog in Los Angeles is causing production delays and lengthening delivery lead times for new forklifts. We have started to see this issue normalize in Q4 and we expect the normalization to continue over the next two to three months as we get through the holiday season. Our large industrial deployment with Ford, which is underway, as well as our deployment with a large federal agency, which rolls out in 2022 are both aftermarket installations and are not impacted by these forklift production issues. As I mentioned, supply chain disruptions are also impacting our ability to surge deliveries and our other product lines. For instance, we had two electronic components suppliers de-commit on deliveries at the last minute, which then impacted our ability to surge Q3 deliveries for our logistics and vehicle products, as we had an additional $4 million in orders that could have been shipped if we had the components to build them. We entered Q4 with a solid backlog that was up 50% compared to our typical quarterly logistics and vehicle backlog going into any quarter.  Our supply chain organization like many is dealing with daily surprises. But it is good to note that we are hearing from our customers that they believe that many of these issues will start to lessen over the next two quarters and many of our automotive customers are starting to say the worst is over. However, we are not waiting for the electronic supply issues to self-correct and our engineering teams have been diligently working on providing us with critical components optionality. These initiatives will cut into production early next year giving us additional flexibility and components further reducing our reliance on any one supplier and giving us more control over component pricing. The current economic recovery has shown us that we may need to deal with some air bubbles in our fuel line so to speak and while some orders may be delayed, we have not experienced any loss of business to competitors. And just to be clear, our industrial business was impacted by new forklift availability and not our ability to supply our products.  While we did experience temporary challenges in Q3, we had a couple of very notable successes, which included our team in Israel shipping and installing over 7,800 units in August, which marked a new monthly record. Also in Israel, our largest cold chain IoT project with MACCABI HMO surpassed having 2,000 cooling boxes being monitored. In Mexico KAVAK, which is considered the Carvana of Mexico installed over 10,000 units by the end of Q3, which was three months ahead of forecast.  In the U.S., as I mentioned, our logistics team won a follow-on order for 10,000 LV-500 container telemetry devices that also included our patented freight camera sensor. This customer has the option to increase this order by an additional 2,000 units. These units started shipping in October with a plan for shipping over 1,000 units per month. Our U.S. team also signed and shipped over 2,500 LV-300 chassis telemetry units in Q3. This solution includes our patent-pending weight on axle sensor, which allows the fleet operator to know if a chassis has a container on it and if the container is loaded and empty. As Ned mentioned in his remarks, we took a $400,000 expense related to a one-time incentive in the form of a credit for old 3G units and this positioned PowerFleet to become this major chassis lessor’s preferred provider and they immediately gave us an order for 3,000 chassis optimization systems to be delivered in Q4. More importantly, we received a letter of intent from this customer for an additional 10,000 and 15,000 units to be delivered next year and we're currently finalizing their 2022 product mix and delivery schedules. In summary, this chassis product order combined with the 10,000 plus unit order for containers that I mentioned previously along with other orders in hand gives us a backlog of over 25,000 logistics ordered units that we will close as we close out 2021. This is the highest logistics unit backlog going into a new year in the company's history. Our U.S. industrial group successfully launched the first site at a major government agency that we've talked about previously and this site is now fully up and operational. The site was a critical milestone in moving forward to additional 80 sites that represent $20 million opportunity that we will start implementing in 2022.  In closing, while Q2 reflected the strength of our business and our ability to deliver, Q3 showed our business's susceptibility to global supply chain hiccups that are impacting the delivery of new forklifts, as well as the extremely tight electronics component market. We know that global supply chain issues can affect our customers' ability to procure vehicles but this will depend upon each OEM situation. One example that was contrary to the U.S. forklift production issue is our business with Jungheinrich, the number 3 global forklift manufacturer, where our orders have not been affected as our forklift production is based out of Europe.  We ended Q3 with our recurring and services revenues at record levels and growing with a record backlog in logistics and vehicle opportunities, as well as the 2022 aftermarket industrial implementations at Ford and the government agency. We look to build on the sales momentum in Q4 as we continue to close out new deals and launch several new products, which will add to our 2022 opportunity pipeline. We've already received an order for 3,000 units of one of these new products and these will be delivered by the end of Q4. Now I'll turn the call back over to the operator for Q&A. Operator.
Operator: Thank you. [Operator Instructions]. And the first question is coming from Scott Searle from ROTH Capital. Scott, your line is live. Please go ahead.
Scott Searle: Hey, good morning. Thanks for taking the questions. Hey, Chris, you gave a number in terms of the logistics opportunity that you're unable to ship due to components. I'm wondering if you could quantify what the forklift impact was in the quarter? Also, as you would expect, right, given the incremental freight costs and otherwise gross margins were impacted on the product front. I'm wondering if you could quantify what that impact was in the quarter and maybe give us an idea about the product industrial mix versus logistics mix? And then, I had a couple of follow-ups.
Ned Mavrommatis: Yeah. So in Q3, if you -- the industrial products that we ship are typically in the $1,500 range per -- that's the retail price. And I'd say 90% of the dollar amount, the missing analyst expectations was due to industrial. And those are all targeted to what I'd say new forklift builds. The gross margins are actually impacted by that mix because the more of the higher-price, higher margin industrial products we ship obviously our gross margins go up on products. But we have seen probably a few percentage points that you can add in here just the impact of gross margin due to shipping costs and component price increases. Scott, did that answer your question?
Scott Searle: Yeah. That answers my questions. Sorry, I didn't hear Ned. But then, Chris to follow up it sounds like the port and shipping issues are starting to resolve. Sounds like you have some pretty good visibility that I guess going into the start of next year. I was wondering if you kind of talk us through that comfort level of why you're feeling better about things improving and as we think about that recovery than going into the first quarter, I would assume that traditional seasonality maybe doesn't happen and kind of how you're thinking about what product revenue looks like as we go into the first quarter of next year? Thanks.
Chris Wolfe: Okay, what's interesting about Q4 is that it also depends on aftermarket installations on the industrial side. So I've mentioned we have a large implementation going on in Ford, it's a refresh and we're now talking to them. They can take anywhere up 800 units in Q4 or it could slip into Q1. That’s just as an example that right there is well over a $1 million opportunity. The federal government -- federal agency that we're working with if they pull in their orders from Q1 you that would have a pretty impressive impact on Q4 as well. But we are seeing our channel and by the way, we actually pulled our channel, which is our dealer channel. We have 500 dealers throughout the United States and that's actually where we've gotten all the feedback on the OEMs and the impact on them. So they're not getting the forklifts to sell to their end customers, but they're seeing that starting to break free. So -- and by that I mean normalize. So, yeah, just over with those over 65 ships backlog got to San Pedro in September there were 100 backlogs in October and now there's 100. So it's like you're going to -- if it's always 100 sooner or later just the number of containers getting off the ship is going to normalize and that's what we're kind of seeing right now.  And what's really interesting -- it wasn't electronic component parts that were holding up forklift manufacturing. The preponderance of the delays were counterbalance weights, which is needed in the forklift and at the end of the forklift production, you have to have a weight in the forklift to counterbalance the forks and the times at the front. Going into next year, actually, we see our logistics products all of that backlog of 25,000 will start -- as has started shipping. By the way, we've started shipping some of that in Q4. But the preponderance of that will start shipping in Q1 and we're working right now with the customers on just delivery schedules.
Scott Searle: Great. And lastly, if I could, Chris just I was wanted to get some color around Hyundai Translead. Kind of frame how big that could be in 2022 and car rental opportunities, certainly went away during the native [ph] of the pandemic, but now those opportunities seem like they're starting to come back. I was wondering if you had any color in terms of what's going on in that front? Thanks.
Chris Wolfe: Yeah. So just interesting as far as the car rental opportunities. You have Avis, which is a great customer of ours. We've been the technology-selected provider for their flex car program, which is a huge growth opportunity for Avis. So we continue to provide services and products for Avis, which includes our patented fuel processing for accuracy. The rental car companies are still having issues getting new cars. I mean you saw Hertz obviously put an order for 100,000 EVs from Tesla. The good and bad about that is that those cars already come with telemetry. But the good thing is that we are -- our product actually works on either internal combustion or electric. So even though you might not need the fuel accuracy you still need all the other telemetry data, which is like automatic check-in, check-out, odometer, etc. And Scott, if you could repeat the first part of your question so, I can make sure I answer it.
Scott Searle: Oh, sorry. Just Hyundai Translead, any color on that front? Thanks.
Chris Wolfe: Yeah. Yeah. So there -- Hyundai Translead their typical trailer build in the U.S. is about 70,000 that they -- and they actually bought them out of Mexico. But so -- it's about 70,000 total and our goal there is to get at least 10% of their build. And that's kind of what we're working for right now.
Scott Searle: Great. Thank you.
Chris Wolfe: Yup. Thanks, Scott.
Operator: Thank you. Your next question is coming from Jaeson Schmidt of Lake Street. Jaeson, your line is live. Please go ahead.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Just following up on Scott's question. Just curious if you could quantify the expected impact from the supply chain you expect here in Q4?
Chris Wolfe: Yeah, I want to make sure it's clear too that the supply chain on the forklift side is primarily impacting new forklift delivery, not our products. We have products to ship, we're just waiting for those new forklifts to actually finish their manufacturing. On our logistics and vehicle side, we have the parts and we had the parts to build to our normal forecast. What we have is an opportunity to expand and accelerate that and that's what we weren't able to capitalize on in Q3. Right now, in Q4 to hit our normal forecast on logistics and vehicles looks doable. I'm not saying that that's not susceptible to some last-minute hiccup. But when you look at our inventory numbers you'll see our inventory has increased almost to the tune of $3 million and that's getting all the components so that we can actually address all that backlog of logistics units that you see in that 25,000 plus backlog. But we still are working to get one component here or there. So you can't build a product if you don't have 100% of the components. But right now Q4 looks like it won't be impacted by any kind of electronics hard shortage.
Jaeson Schmidt: Okay. And then just following up on that, I know you mentioned no cancellations in the industrial segment, but are you at all concerned about some decommits, just trying to get a sense of how firm these orders actually are?
Chris Wolfe: Yeah. We haven't -- actually we've never seen any kind of any level of decommits in the company's history because there is a normal flow like in our channel business. One issue that's also impacting the number of forklifts and its actually kind of exacerbates the forklift availability issue is Toyota, which is the number one forklift manufacturer in the world. Their IC truck, which is an internal combustion truck, which is 20% of the North American market was pulled off the market in April because of an EPA issue. Now they're addressing that, but that's 20% of every internal combustion forklift that's in the market is basically vanished. So all the other OEMs are scrambling to kind of fill that void and that's just kind of exacerbated the situation. Again, we see all that normalizing because as those parts come off the ships, as the production lines kind of get back up the steam, but that doesn't mean there won't be like hiccups. But we're not seeing it get worse. We're actually starting to see it improve through our channel.
Jaeson Schmidt: Okay. And then, just the last one for me and I'll jump back in the queue, looking at that government agency, I know you mentioned some potentially could be pulled forward in Q4, but if we look at those sort of remaining 80 sites, how should we think about the timeline for that to be completed?
Chris Wolfe: It's probably a two-year project in total. Once they get -- by the way the way that works is they take the first site and they kind of do the bowling tender approach. So the first site is the cookie-cutter, they have to get all the processes down how they train their operators and we were -- we've worked with this customer in the past. So we know this very well. But once they get up this steam they can be doing up to six, seven sites a quarter. But that probably will start -- they'll probably do two or three sites in Q1 and then they'll get up to that six or seven site run rate after Q1 of next year.
Jaeson Schmidt: Okay. Thanks a lot, guys. 
Chris Wolfe: Okay. Thanks, Jaeson.
Operator: [Operator Instructions]. And your next question is coming from Gary Prestopino from Barrington Research. Gary, your line is live. Please go ahead.
Gary Prestopino: Thank you. Hey Chris, this new order that you've gotten logistics for 10k of the LV-500, can you quantify what kind of revenue you derive off that on both the product and a recurring revenue basis and when will that be fully implemented?
Chris Wolfe: Yeah. We've actually started shipping those units. We'll probably be up to full steam on that in November and we typically try and ship those units out by the 15th of every month. And that unit does consist of the LV-500 and the freight camera typical retail price is around $4.50 to $4.75 on the hardware price and then the recurring revenue is around $5.
Gary Prestopino: Per unit, right, per month.
Chris Wolfe: Per unit per month. Correct.
Gary Prestopino: Okay, great. Thank you. And then just to be clear, you said that the industrial was obviously impacted by the OEM forklifts. In the logistics segment, you had 4 million in orders that you could not or you could have accelerated, but you couldn't get a component part, is that correct?
Chris Wolfe: It's two areas, logistics and vehicles. If you keep in mind we do sell a lot of units, I mean tens of thousands of units like to KAVAK in Mexico. We actually have a backlog there as well. So between logistics and our vehicles segment, it's $4 million combined that we could have shipped if we could have built the products.
Gary Prestopino: Okay, alright. And again, none of these things have been canceled they've just been pushed out, right?
Chris Wolfe: Oh, absolutely nothing's been canceled. As matter of fact, anything on-demand is even stronger.
Gary Prestopino: And you also said your backlog was up 50% overall or was that just backlog in logistics?
Chris Wolfe: That's a backlog in logistics and vehicles. We don't count -- when I say backlog that's firm orders waiting to be built. So the industrial side is PO by PO. So in others we kind of when we get the PO we fulfill the orders. So until we get the purchase order from the OEM or from the dealer or from the end customer we don't really classify it as backlog.
Gary Prestopino: Okay, and then, last -- 
Chris Wolfe: Logistics and vehicles.
Gary Prestopino: Okay, I'm sorry. And lastly, I don't know if Ned's on, we may have lost him, but --
Ned Mavrommatis: No. I'm in here.
Gary Prestopino: Okay Ned, it looks like your gross margin on the product was down, which is understandable. But it looks like your gross margin on service if I have my numbers correct was down almost 840 -- over 840 basis points. Could you explain what is going on there? 
Ned Mavrommatis: Yeah, the product margin on service was consistent, it was 64% last year, 63% this quarter. So it was very consistent. The product mark, the margin on the product was definitely lower. If you recall during the prepared remarks there was one time $400,0000 expense that we did an incentive program to get our customer to replace their old units, which are going to lead to significant orders in Q4 and next year with this customer. If you exclude that one-time $400,000 expense, the product gross margins was in approximately 27%, 28% and it was impacted by a few percentage points related to all the issues that we talked about related to supply chain issues, electronic components, higher freight costs, and product mix as well.
Gary Prestopino: Okay, thank you.
Ned Mavrommatis: You are welcome.
Operator: And there are no further questions in queue at this time, I would now like to turn the floor back to Mr. Chris Wolfe for closing remarks.
Chris Wolfe: Thank you for joining us this morning. Ned and I will be virtually attending several upcoming financial conferences during Q4 including the 10th Annual Roth Capital Technology Conference on November 17th, and the Ladenburg Thalmann Virtual Technology Expo 2021 on November 18th. In closing, I'd like to thank our global employees for their diligent efforts and operational execution, extend the thank you to our valued customers for putting their trust in PowerFleet's products and services, and thank our investors for your continued support and confidence in our ability to realize our vision. Please stay healthy and we look forward to speaking with you again soon. Operator.
Operator: Thank you for joining us today for our presentation. You may now disconnect.